Operator: Good day, and welcome to the eMagin Corporation Third Quarter 2018 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Jeffrey Lucas, President and Chief Financial Officer. Please go ahead.
Jeffrey Lucas: Thanks. Good morning, everyone. We’re very glad to have you join us today for our Third Quarter 2018 Earnings Conference Call. During today’s call, we may make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on the company’s current expectations, projections and beliefs, and are subject to a number of risks and uncertainties. Such statements include references to projections of future revenues, plans for product development and production, the company’s ability to ramp up production, future contracts and agreements, product benefits, operations, future financing, liquidity and capital resources, as well as statements containing words like believe, expect, plan, target, et cetera. You should not place undue reliance on these forward-looking statements because they involve known and unknown risks, uncertainties and other factors that are in some cases beyond our control. Please refer to our earnings release for the third quarter of 2018 and the company’s filings with the Securities and Exchange Commission for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. We undertake no obligation to update or revise any forward-looking statements to reflect future events or circumstances. With that, I would like to turn the call over to Andrew Sculley, our CEO.
Andrew Sculley: Thanks, Jeff. Good morning, everyone, and thanks for joining us on our third quarter earnings call. We had another very strong quarter with solid demand and good operational execution, as well as continued progress on our strategic initiatives. On the demand side, we saw growth in both our military and commercial businesses, here in the U.S. and overseas. This quarter, 57% of our total revenue was generated from international markets compared to 50% that we typically have reported in prior quarters. We have also made a concerted effort to target new markets with our leading edge OLED technology. As a result, we continue to expand our customer base through aggressive pursuit of programs globally. For example, earlier this the year, we announced that we were participating in the DefExpo ‘18 show in India. We have already begun shipping displays for new customers into that market, and now have five new active clients there. We expect this to be a growing market for us, and hope to participate in some significant programs. In the commercial market, we received a $780,000 order this quarter from an existing customer in the medical field to upgrade their current technology to our highest brightness XLT displays. We will be delivering displays onto this order for the next 12 months, and anticipate follow-on orders from this customer based on our discussions with them. Also we have a new medical device customer from whom we just received our second order. They are developing a new device for noninvasive medical application using our displays. This customer expects to begin delivering these new systems in early 2019. Revenues this quarter were $6.9 million, a 60% increase year-over-year from the third quarter of 2017. While this was primarily driven from a 51% increase in product revenues, we also had a nice lift in our contract revenue, which Jeff will discuss in more detail. A key takeaway from this quarter is that overall demand for our products as well as our R&D contract revenue was strong. We generated revenue from 66 customers this quarter, including eight new customers and supplied product for 23 new programs in our existing customer base. We continue to leverage these demand trends to further drive profitable growth through increased production yields, which have improved throughout the year. As we mentioned last quarter and reiterated today, we have received $830,000 in U.S. Army awards to help us improve OLED production yields and expand capacity. This project is having an impact on our performance, as we delivered yield improvement in the quarter, which helped drive our product and consolidated gross margin to 35%. From a strategic standpoint, we continue to have productive discussions with our consumer electronics partners, to advance our product and technology to meet the demands of mass production. We are currently upgrading our custom direct patterning production equipment and expect that these upgrades will significantly increase our product yields, lower our unit cost and extend the lifetime of the display. The tool will be operational in the second quarter of 2019. Although, the expected the time line for mainstream AR/VR has been pushed out a bit, we will continue to innovate and improve product quality as customer performance requirements for this market will remain extremely demanding, and it is imperative that we remain at the forefront. One of our Tier 1 consumer electronics partners approved our microdisplay design this quarter. This design has been given to our foundry partner to manufacture the initial wafers. After we receive the wafers, we will directly pattern the OLED. Our consumer electronics partner needs very high brightness; very high resolution, which is needed in order to get a wide large field of view; and no screen door effect. We are the only company with the design and the OLED process capable of making this display. If all goes according to plan, we expect to deliver those prototypes for the consumer electronics company in the second quarter of 2019. Finally, I wanted to discuss our management changes this quarter. As many of you are aware, we run a pretty lean operation for a tech company that has and continues to develop cutting-edge technology. I believe that these changes will further increase our efficiency and enhance productivity. Amal Ghosh, recently promoted to Chief Technical Officer, will focus on technological change and development of our OLED microdisplays. With only a handful of engineers, we have been able to develop display technology that other companies, including the large ones, have not. Under his direction as CTO, he will continue to drive further advances as he has done so successfully in the past. For myself, I plan to continue to work on [Technical Difficulty] driven by strengthening demand trends in the military and commercial markets. Ongoing yield improvements, as evidenced by our four highest volume microdisplay product types, exceeding their respective yield targets in the quarter, favorable margin trends year-over-year in solid bookings and reported backlog as of the end of the quarter. Revenue for the quarter, and Andrew pointed out, was $6.9 million, up 60% from the same period of 2017. Product revenue for the quarter was $6.2 million compared to $4 million in the third quarter of last year, a 51% year-over-year increase. The improvement in year-over-year product revenue was fairly broad-based among U.S. and foreign military programs as well as commercial customers. During the September quarter, 35% of our revenues were derived from exclusively commercial customers compared to 22% in the previous year’s quarter. We also benefited from higher averaging of prices, reflecting the continued shift in mix towards higher-priced products. Contract revenues in third quarter were $819,000 compared to $266,000 in the prior year quarter. The increase is primarily due to a higher level of activity on our consumer development work along with expanded activity with a major aviation program in our U.S. government-funded yield improvement projects. Regarding profitability, the reported gross margin for the third quarter was 35% compared to 7% in the prior year quarter. The favorable year-over-year comparison was due largely to the impact on last year’s gross margin and production issues that have since been resolved. In 2018, third quarter gross margin also benefited from increased volumes and higher yields, resulting in a lower cost per displays as well as the contributions from several military and government-funded contracts. On the product side, our product gross margin was 35%, up from 5% in the prior year period. This reflects a benefit of higher volumes and average selling price from buying with the leveraging our fixed production cost over a greater product sales compared to the prior year’s lower volumes and production-related issues. The higher gross margin also reflects the impact of our ongoing yield improvement initiatives. In our contract business, we report a gross margin of 31%, an increase in 25% gross margin in the third quarter of 2017. Last year’s gross margin reflected additional cost incurred, as a multiyear Mantech project approached completion. This year gross margin also included the cost to complete adjustments on one of our design projects that have a smaller magnitude and not anticipated to reoccur in future quarters. Now moving to our expenses in the quarter. Total operating expenses from the third quarter 2018, including research and development or R&D, were $3.6 million, up from $3.2 million in the third quarter of 2017. As a percentage of sales, operating expenses declined to 53% this quarter compared to 76% in the third quarter of last year. The increase in operating expenses was due to higher R&D expenses, which increased $319,000 year-over-year to $1.6 million. This reflected ongoing development of the company’s proprietary direct patterning technology as well as costs associated with improving our manufacturing process fees for our brighter displays. Selling, general and administrative expenses, or SG&A, of $2 million was flat with both a year-ago period and the second quarter of 2018. As a percent of revenue, SG&A declined to 30% of net revenue in the third quarter compared to 46% in the third quarter of last year. We reported an operating loss for the third quarter of $1.3 million compared to an operating loss of $3 million in the third quarter of last year. Other income for the third quarter was $1.3 million, and was primarily due to the non-cash income recognized for the decrease in the liability associated with the fair value of warrants outstanding. Net income for the third quarter 2018, inclusive of $1.3 million for the warrant liability valuation was $63,000 compared to a net loss of $3 million or $0.09 per diluted share in the third quarter of 2017. Non-GAAP adjusted EBITDA for the quarter was negative $600,000 compared to negative $2.4 million in the prior year period. Regarding our liquidity, at September 30, the company had cash and cash equivalents of $6.2 million, working capital of $11.5 million, no outstanding borrowings under our asset-based loan facility and borrowing availability under the facility of $4.9 million. Total backlog at the end of September was $10.9 million, an increase of $1.3 million from the beginning of the year. Now, I’d like to take just a few moments to discuss our military programs and operations. We have been involved in many of these military programs for a number of years, and believe that we have laid the foundation to generate substantial growth and profitability in the next few years. In addition, this business has provided us the financial flexibility to advance our technology. During the quarter, we had several notable customer wins in the military end market. Highlighting a few of these; first, we received a $400,000 order in support of the Javelin missile program, Command Launch Unit, in the third quarter. We anticipate receiving a follow-on order worth about $516, 000 in further support of the program. These orders are in addition to those we received during the third quarter, for displays incorporate each of the javelin trainers. Second, we received a follow-on contract for the Family of Weapon Sight -- Individual program, following the delivery of displays for the limited-rate initial production phase of the program late last year. We are currently in the process of finalizing a follow-on contract for this program. Third, in September, we signed a long-term agreement with a major French defense contractor to supply all their microdisplays for the weapons products and markets. These orders are in addition to the noteworthy wins we received in the commercial market that Andrew mentioned, for the medical device field. Turning to operations, our production team continues to make noteworthy improvements in performance, both in yield and throughput that will help us lower unit cost and increase capacity and gross margin. These lower costs also allow us to compete profitably in many markets where we have not previously had a presence. Our business development team has been working very closely with our existing customers to expand our sales to them, while also exploring and pursuing a new commercial and industrial market for the sale of our products. The lower unit cost, I noted above, allow us to compete profitably in many markets where we previously have not had a presence, and we’re pursuing these markets aggressively. In conclusion, we strengthened our company on several fronts in the quarter. We continue to grow our market share with an expanded military, aviation and commercial presence. We are effectively executing on our yield improvement initiatives and are well positioned to achieve, if not surpass, yield targets in the fourth quarter for our 4 highest volume microdisplay product types. As a result of volume and yield improvements, gross margin and adjusted EBITDA trends will be more favorable on a year-over-year basis. And finally, the quarter reinforced our strong strategic position particularly in the military end market as the only manufacturer of OLED microdisplays in United States. With that, we’ll turn it back to the operator for questions.
Operator: We’ll now begin the question-and-answer session. [Operator Instructions] The first question comes from Eric Lauriers of Craig-Hallum Capital Group.
Eric Lauriers: I was wondering if we could drill down a little more to the medical device opportunity. If you could just help us quantify that, that will be helpful?
Andrew Sculley: By quantify, you mean the number of displays, that sort of thing?
Eric Lauriers: Just overall, I mean, as the Virtual Reality front has, sort of, been pushed out a little bit, it seems like you guys are getting some nice traction on this -- on the medical vertical. So I was wondering, if -- how you guys think about this is? Whether this is a -- kind of, a two customer thing? Or if you see this as a vertical that you guys can, sort of, strategically pursue?
Andrew Sculley: Thank you. And actually there’s more than two customers we have in the medical field, and we see things like training and simulation and one of the devices is for eye surgery, according to math, I’m giving you examples. And then we have the other application of noninvasive measurement-type things, and there are number of applications of that. So I think, this is a big vertical for us. And as you know, AR/VR in the consumer space is pushed out, but in the non-consumer space, we believe that’s a place we can play very strongly. In fact, for the same reason that the displays that are used today, the military, as you know, switched to OLED microdisplays for size, weight and power, high contrast, high speed, and now we even have the necessary brightness to go into a fighter pilot helmet, I think you’ll see the same exact thing on enterprise solutions and medical devices.
Jeffrey Lucas: Yes. I would just to add to that a little bit here. Medical device has been an area we’ve been focusing on for several years now. And as we’ve mentioned in previous earnings calls, it can take a little while to establish a presence in a new segment. We’ve been getting quite a bit of traction here. We’ve been seeing that accelerating over the past quarter or so, and we anticipate that continuing into the future. Quite clearly, the device field is seen at the performance, specifics the performance of our displays or exactly what they need for the higher-end equipment, and that’s presenting a lot of opportunities for us.
Andrew Sculley: And one other thing, as you know, the military stuff to get approved in a device, well so is the medical. So the fact that we’re in there means this is good news for us.
Eric Lauriers: Yes, absolutely, that makes sense. And then switching gears to the consumer front. Seems like you guys have some good progress with the OEM design approval. Any change in the tone or expected timing? I know it was pushed out last quarter, it seems like some of the overall buzz and activity had died down, but perhaps, seeing a pickup now, just wondering, how you guys are reading that?
Andrew Sculley: Yes, I think that the event for us will be the actual of this display, it’s a prototype coming out, and we -- this consumer company is very interesting to us, because they will allow us to sell the displays to other companies, once they have it and taken a look at it. So I think the event will be that when you see this display, it’s a VR display, this is the display that everyone needs. And one of the reasons I can’t help but think, the VR space doesn’t take off today or hasn’t taken off today, is the displays aren’t what’s needed. This display is. It meets the qualifications, very high resolution, very high speed, some of the things we’ve put in it like addressing all the pixels at once, a global addressing, high brightness, very high brightness, full-color display, that’s what’s needed. So we are very enthusiastic about having this customer see this display.
Eric Lauriers: Yes, you guys definitely appear to have, sort of, nailed down that market, as we go to display for Virtual Reality, so that’s great. All right, final questions from me regarding the manufacturing partners that you guys are in talks with. I know you were originally talking with one and then I think it expanded to two. Just wanted to see, if you guys have continued to open up that search to include more partners? And then sorry, just a follow-up to that. Wondering if we can get a little bit more color on what the holdup or sticking point is in terms of getting a partner signed?
Andrew Sculley: Yes, we have opened up the search. There’s two others who are very interested in working with us on this, and we’re pursuing that as well. So the only holdup is, when you see the market takeoff, make sure it’s going to takeoff before we move forward with production equipment. And I think, again, the event we have here is the display that’s coming out in the first part of the second quarter. That display will be an absolutely astounding display and people will see that, that’s what’s needed.
Eric Lauriers: And then last question from me. Just wondering if you have, sort of, narrowed down the possible partnership structure you’re looking for? Whether it’s JV or license scenario, any progress on that front?
Andrew Sculley: Well, it’s different depending upon whom we’re talking with. In some companies the best thing to do is to have a license structure, others the best thing to do is to have a more of a -- we’re really 100% involved.
Jeffrey Lucas: But the point to make here also, Eric, is that we actually have had discussions with a variety of structures here, but we don’t think it’s appropriate at this point in time to commit to any one particular structure as our discussions are ensuing.
Operator: [Operator Instructions] The next question comes from Kevin Dede of HCW. Please go ahead.
Kevin Dede: Back to Eric’s on the medical side. Can you characterize, I guess, what you’d expect the percentage revenue contribution to be? Given the overall consumer side, the overall military side sorry, the overall commercial side versus overall military, can you talk how much medical could potentially be within commercial?
Jeffrey Lucas: We’re not going to give a hard and fast number there, generally we don’t. As we pointed out, commercial this quarter was about 35% of our revenues in comparison to 22% in last year’s quarter. So obviously, we see an increase in that area. We anticipate that continuing. At this juncture, so the lion’s share of that will largely be in medical device, as we’re looking to expand our presence in other segments as well and that we can see growth from there too. But we’ve got a bit of lead here in medical device, because we’ve been working with these companies now for a while here. So they continue to gain our traction and that a little earlier than we are in the some of the other areas. But I will say overall that our military business has been strong, it is strengthening, as the number of programs in which we’re on and going from prototype to low ranges of production to normalized production, those already are going to increase. But we’re also anticipating that our commercial endeavors are going to increase probably, I think, at a faster rate, albeit from a smaller base.
Andrew Sculley: And I’ll just had one other thing. On the military side, remember, when we military people tend to speak -- think of U.S., but outside the U.S., we are very strong. And that...
Kevin Dede: Thank you for raising that point, because that was my next question. Jeff in his prepared remarks mentioned a long-term agreement for microdisplays in France, obviously, displacing a manufacturer there or at least that’s the assumption. But I was offering if you could offer a little more color on that particular deal? What’s the application? And what’s the potential size of the market?
Jeffrey Lucas: Well, actually this -- the French market has been one of our largest markets that we’re seeing this year. And this particular application fit for a thermal Weapon Sight. But that being said, we’re in discussions about another -- with a lot of other companies in that region about applications beyond just on the Weapon Sight. But that’s been a primary focus at this point for the -- for this particular contractor.
Kevin Dede: Okay. So that Weapon Sight is at an infantry application that you’d imagine that there will be a lot of unit sales? Or is it perhaps more maybe lower volume and higher cost? Just if you could help characterize that?
Jeffrey Lucas: Actually, this is -- there are a lot of -- this is a high volume application here. So it is going to have higher volumes and actually pretty high pricing as well.
Kevin Dede: Okay. You guys have, I guess, for the past couple of quarters talked a lot about yield improvements. And I know I’ve asked about it before, I was just wondering if you could go through some more of a detail on those improvements specifically and how -- I guess, how they are manifest in your production going forward? The concern is, obviously, that given how sensitive the production process is that things may not remain stable. I guess, I was just wondering if you could just talk to those improvements and how they’ve been integrated in your production? And how you think they can be translated to another manufacturer once an agreement is finalized?
Jeffrey Lucas: Well, first of all, let me start off and then Andrew can add color to this. But actually we’re getting much greater consistency and stability, and part of the reason we’re having the yield improvements is not only because our specific yields by products are improving, but the plans we’re having less variability within those yields as well. So therefore, the average yield is certainly increasing quite a bit. So this is certainly benefiting us, as you would anticipate, with lower unit material cost. Where it’s also beginning to help us and we’re going to see greater impact of this going forward is that this also allows for higher volumes, because therefore we have more throughputs, higher capacity, that’s going to lower our fixed costs, which, as we’ve said in previous calls, is an essential portion of our overall manufacturing cost, and that we think is going to have a dramatic impact on our margins as well. So in other words to date, the improvement we’re seeing in margins has been driven largely by lower unit material costs. As our volumes are increasing and as our yields go up and our throughput and our capacity increases, we’re going to have dramatically lower unit fixed costs as well that’s going to give us better margins.
Andrew Sculley: Just few other things on that. Besides yield, it’s also throughput and machine uptime. Much of this is improvement from the addition of a high-volume manufacturing, the Senior Vice President for manufacturing, he’s come to us and we’ve put in place the things needed to keep these machines running, to keep them up all the time and also to control the process so that the yield is better, for example, the OLED process is more tightly controlled. And that type of thing is very good for us. We’re seeing the results of that now as you look at our margin improvement. And that will continue, because we have a ways to go. On transferring it to someone else, if we did a licensing agreement, there are 2 things, advantage there is: one, we can transfer the know-how on OLED to someone else, and if it is -- it would be a mass production partner, they also have their own mass production expertise, which could help, so would be a symbiotic relationship.
Kevin Dede: Question on the second quarter display that has a higher brightness, global pixel manipulation and addresses perhaps better the AR and VR market. You mentioned, Andrew, that your partner there would be able to sell through to other customers. And so I’m presuming that on a licensing arrangement, is that right way to think about that?
Andrew Sculley: Let me say again. Really, the partner will allow us to sell to other companies. Let me give you a few examples. There are many different people in this AR/VR space, who are interested in having a takeoff because they have other things to sell and the 2 obvious ones are chips for GPU/CPU and software. So this company might be one of those, and they want to have the market takeoff, they’re not necessarily going to be the premier headset manufacturer in the world or a headset seller in the world, but they want this market to takeoff. That’s what I’m talking about. They like us to sell the display to everyone.
Kevin Dede: Last comment, congratulation, Jeff, on sort of a change up in your responsibilities. I’m wondering if there’s going to be someone else to help you on controlling accounting finance side?
Jeffrey Lucas: Well, we’re very fortunate we got a lot of strong bench strength on our finance team. And our Corporate Controller, Mark Koch, has been doing a great job, he’s been with us now about 2.5 years. So he is rapidly taking over a lot of responsibilities that I was having in the past. But we have strengthened our team. And that’s beneficial, let’s expand upon that, not only in terms of our reporting publicly, but also very importantly, in our management reporting as well, so that we can have fine tune and better manage our internal processes and Mark has been very instrumental in that.
Operator: [Operator Instructions] There are no other questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to Andrew Sculley for closing remarks.
Andrew Sculley: Again, thank you, everyone, for joining us. This has been an outstanding quarter, making progress going forward, in both the military, and I’ll just emphasize again, military is outside the U.S., again, 57% of our sales were outside the U.S., and that is a growing market for us. The medical device field is one that we are very, very happy to be in and very happy to push on that to see it expand. That’s one of the enterprise solutions that we look forward to. Then the consumer progress has been -- is very good with the sending the wafer out to be -- or sending the design out to be made, it is moving forward. And I -- we also mentioned that our direct patterning equipment is out to be changed, so that it can be ready for the next stage in yield improvements and also lifetime improvements, significant improvements there. And that is necessary for the next step to mass production. So we are very happy to be where we are today. And I thank everyone on the eMagin team, we’re an outstanding team, it’s a privilege to work with them. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.